Operator: Good morning. At this time, I would like to welcome everyone to the Second Quarter 2019 Lincoln Educational Services Earnings Conference Call.I would now like to turn the conference over to Michael Polyviou. Please go ahead.
Michael Polyviou: Thank you, Liz, and good morning, everyone.Before the market opened today, Lincoln Educational Services issued its release reporting financial results for the second quarter ended June 30, 2019. The release is available on the Investor Relations portion of the Company’s corporate website, at www.lincolntech.edu.Joining us today on the call are Scott Shaw, President and CEO; and Brian Meyers, Chief Financial Officer.Today’s call is being broadcast live on the Company’s website and a replay of this call will be archived on the Company’s website.Statements made by Lincoln’s management today, during today’s call regarding the Company’s business that are not historical facts may be forward-looking statements as the term is identified in federal securities laws. The words may, will, expect, believe, anticipate, project, planned, intend, estimate, and continue as well as similar expressions are intended to identify forward-looking statements.Forward-looking statements should not be read as a guarantee of future performance or results. The Company cautions you that these statements reflect current expectations about the Company’s future performance or events and are subject to a number of uncertainties, risks and other influences, many of which are beyond the Company’s control and may influence the accuracy of the statements in the projections upon which the statements are based.Factors that may affect the Company’s results include, but are not limited to the risks and uncertainties discussed in the Risk Factors section of the Annual Report on Form 10-K and quarterly reports on Form 10-Q filed with the Securities and Exchange Commission.Forward-looking statements are based on information available at the time those statements are made and/or management’s good faith belief as of the time with respect to the future events. All forward-looking statements are qualified in their entirety by this cautionary statement and Lincoln undertakes no obligation to publicly revise or update any forward-looking statements, whether as a result of new information, future events or otherwise after the date thereof.Now, I’d like to turn the call over to Scott Shaw, President and CEO of Lincoln Educational Services. Scott, please go ahead.
Scott Shaw: Thank you, Michael, and good morning, everyone.Thank you for joining our call today to discuss the progress our team continues to make towards consistent growth and profitability. The favorable operating trends we discussed during our Q1 call in May, including consistent same school student start growth, increasing student graduation and placement rates, increasing operating leverage and strong cost containment continued through the second quarter, and when combined with our outlook for the remainder of the year, enable us to reaffirm all of our guidance for the year with the key objective to achieve GAAP profitability in 2019.Earlier this morning, we reported our seventh consecutive quarter of student starts growth. Starts were up 3.6% and the growth was balanced with the Transportation Skill Trades segment up 3.5% and our Healthcare and Other Professions segment growing 3.7%.Despite the low unemployment rate, which typically can mean a downturn in our enrollments, we are achieving consistent growth for a number of reasons. First, we continue to invest in productive marketing channels, which expand consumer awareness and attract interested students. Second, more and more students and parents are questioning the value of an expense of four-year degree with a lot of debt and maybe not great job prospects. More importantly, some guidance counselors are even becoming more receptive to directing students to career technical training over a four-year school. This shift, I assure you, is still in its intense, but I’m encouraged nonetheless.Finally, the demand by employers for skilled technicians remains as robust as we have seen. And I believe that our partnerships with Fortune 500 companies and others is also helping us to grow. Over the past two weeks, I attended three different events with three different partners, and the message was loud and clear, we need more skilled employees and we have come to Lincoln Tech to help solve our problem.For the second quarter, revenue from the continuing operations grew 6.6% with a strong 11.3% increase from our Healthcare and Other Professions segment and a solid 4.6% growth rate from our Transportation and Skilled Trades segment. We also continued to maintain a strict focus on our cost control efforts during the second quarter, and as a result, we had a double-digit percentage gain in operating income from the Healthcare and Other Professions segment while the Transportation and Skilled Trades segment grew more than 40%.As we expected, we reduced our facilities cost for same school operations by approximately $400,000 on an annualized basis as compared to the prior year second quarter, and we are continuing to evaluate opportunities to lower our lease cost to further benefit our bottom line in 2019 and the ensuing years. In fact, we just signed a new lease at our Melrose campus, which will lower our fixed cost at the campus by approximately $200,000 a year starting this month. Lowering our fixed costs while cost-effectively driving higher revenue has been our focus and is a reason why we will return to profitability this year.Now, let me share some of the highlights that help us measure our progress and success. To begin, our student graduation and placement rates, which are a priority for us, continue to improve. In order to meet industry demand to ensure as many students as possible complete their education, we are constantly evaluating faculty, enhancing our curriculum, tracking attendance, grades and other metrics so that we can provide assistance in guidance to students before they drop. As a result of these measures, we have improved our graduation rates for the last three years and are on track to do it again this year. As replacement rates with a healthy employment market, we continue to find strong career opportunities for more of our students. And employers continue to offer more and more incentives to our graduates to attract them to their companies. From signing bonuses to tuition reimbursement plans, these additional benefits further improve the return on investment a Lincoln Tech student receives.We also measure success by a growing number of corporate sponsors. Partnerships provide excellent employment opportunities for our students in a qualified labor pool for our partners. In addition to offering students attractive compensation packages, our students can enhance their skills using equipment donated by our partners. And I can tell you firsthand that our students appreciate this competitive edge. Our partners allow us to leverage their brands to drive awareness of their various industries that we serve and the opportunities available. During the second quarter, we added Mazda as a new corporate partner, and Lincoln is one of only two schools in the world to have this partnership with Mazda. We were able to work with Mazda to create a program that truly benefits them and our students. Besides offering a good wage and tuition reimbursement, students will also be paired with a mentor for three to six months who will have subsidized car lease payments if they need a car to get to their job. We encouraged Mazda to include the mentor and lease subsidy after surveying students to find out what attributes appeal to them in selecting an employer. We are in advance discussions with other new corporate partners and we are expanding existing partners to additional campuses.Besides working closely with large national companies, we are constantly surveying each of our local markets to understand employers’ needs. As a result, we will be launching our seventh welding program and two hospitality programs this fall. In addition, we are finalizing our research to launch three to five more skilled trades programs in 2020.New programs enable us to further leverage our facilities and improve profitability while increasing our impact on the local employment workforce. Finally, at the end of the second quarter, we submitted our application for degree-granting in New Jersey. While we cannot be sure, if our request will be approved, we know we have a strong application and expect to hear back within a year. With six campuses in New Jersey, degree-granting in the state will enable us to expand some of our current programs, as well as offer new programs, which would further support our employers’ and Lincoln’s growth.As a valuable contributor to the communities in which we operate, we are constantly reaffirming our positive impact with potential students, faculty, business and community leaders. While it’s too early to gauge the reaction from our first ever skills gaps summit we held in May at our Columbia, Maryland campus, I do believe events like this are required and will help demonstrate the importance of our educational platforms for students and employers. It’s estimated that the skills gap could possibly cost the U.S economy up to $2.5 trillion over the next decade with as many as 2.4 million jobs being unfilled over this period.Local and regional economies rely on healthy, small businesses and if companies cannot find new talent, their businesses are negatively impacted. We plan on holding several more of these forums in other locations, and I would expect the reception to be positive.From an accreditation perspective, we had three planned visits during the quarter. These were all successful and our creditor commended Lincoln for the long average tenure of our faculty, exceptional student support and very strong student surveys. We believe the positive reaccreditation visits will help Lincoln expand and launch new programs more easily.In summary, our second quarter and six-month results continued the positive trend that started nearly two years ago. Our key performance indicators, revenue, student starts, graduation and placement rates, and improving bottom line position us for success throughout 2019. Profitable, we will be.In addition, as we look to the next year and beyond, we see strong bottom line results. We are at an inflection point. As we continue to grow our revenues through marketing and new programs, we will see our net income continue to increase as a result of our strong operating leverage. Moreover, with $60 million in net operating loss carry-forwards to shelter our earnings, almost all of our operating leverage will drop to the net income line for a while. We look forward to delivering strong results to our shareholders as we better serve students, employers and our communities.Now, I’d like to turn the call over to Brian for a review of our second quarter results. Brian?
Brian Meyers: Thanks, Scott, and good morning, everyone.I would like to begin my comments with highlights from our second quarter performance, offer some comments regarding our segment performance during the period, and then conclude with a review of our 2019 guidance, which as Scott noted, we are reiterating this morning.To begin, revenue for the quarter improved $2.5 million, or 4% over the prior year, and on a same school basis, revenue was higher by $3.9 million, or 6.6%. Our student starts and average student population on a same school basis were up 3.6% and 5.8%, respectively, over the prior year.Successful execution of our strategies to drive growth have now led to seven consecutive quarters of student start growth. This is a very important accomplishment for the Company, given the challenges in the industry and is reflective of a strong commitment and effort by our team to provide an exceptional educational experience for our students, while improving the Company’s financial strength.We continued to make additional marketing investments during the quarter, which we believe will continue the favorable student start trend for the remainder of the year. As a result, the cost per start was up slightly during the quarter. However, the cost per start for the first half of the year is down, which is demonstrating both marketing effectiveness and improved returns on our marketing investments. Also, we improved our cash flow as we were cash flow positive from operations for the quarter and increased cash flow from operations for the three and six months ended June 30, 2019 by approximately $2.4 million and $1.5 million, respectively, compared to the same period of prior year. Historically, we have generated strong cash flow in the second half of the year, and we anticipate the same trend to recur this year, which led us to forecast positive cash flow from operations for 2019.Now, turning to our segment performance for the second quarter of 2019. Our Transportation and Skilled Trades segment revenue increased by $1.9 million or 4.6% to $44 million for the three months ended June 30, 2019. The increase in revenue is due to continued start growth, which drove a 3.6% increase in average student population quarter-over-quarter. Operating income increased $700,000 to $2.5 million for the three months ended June 30, 2019. The operating income improvements were primarily driven by evaluating implementing efficiencies where needed as well as continuing expense controls.Our education service and facility expenses for the quarter remained essentially flat while selling, general and administrative expenses increased by approximately $1 million primary due to increased investments in marketing during the quarter.Now, turning to our HOPs segment. Revenue increased by $2 million or 11.3% to $19.5 million from $17.6 million in the prior year. Similar to our Transportation and Skilled Trades segment, the revenue increase was mainly driven by a 10.3% increase in average student population, which is attributed to our continuing start growth.Operating income increased by $300,000 to $1.8 million from $1.5 million in the prior year quarter. This increase was primarily driven by higher revenue, which is partially offset by an increase of approximately $600,000 in our education services and facility expenses and $1.1 million increase in selling, general and administrative expenses. The increase in education services and facility expense was a direct result of our growing student population, while the increased selling, general and administrative expenses increase was due to additional bad debt expense in combination with increase in sales and marketing expenses.Corporate and other costs were $6.4 million for the three months ended June 30, 2019 as compared to $5.9 million in the prior year.Now, let me review our 2019 guidance. Our second quarter results came in as expected, so we are reiterating our previously disclosed guidance, which includes the following. First, we anticipate revenue and student starts to increase by 3% to 5%, excluding the Transitional segment in the prior year. Second, we expect to achieve approximately $2 million in net income. And finally, we expect 2019 EBITDA to be approximately $12 million.With that, I’ll now turn the call back over to the operator, so we can take your questions. Operator?
Operator: [Operator instructions] Our first question comes from the line of Alex Paris with Barrington Research. Your line is now open.
Alex Paris: Good morning, guys. Congratulations on the beat.
Scott Shaw: Thanks, Alex. Good morning.
Alex Paris: So, I have a couple of questions based on your prepared comments. First of all with regard to student graduation and placement rates. Can you quantify those a bit on a percentage basis? Do you -- I think, one time, you at least gave placement rates.
Scott Shaw: Yes. Basically, the graduation rates are around 65% to 66% and our placement rates are 80% to 81%.
Alex Paris: And those are improvements over last year?
Scott Shaw: Yes. We’ve been increasing them anywhere from 50 to 150 basis points. It varies quarter-to-quarter, Alex. But, that’s in the range.
Alex Paris: Got you. And then, congrats on a growing number of corporate sponsors, the addition of Mazda. Would you mind just as a review kind of rattling some of those, offer us at least maybe by segment Transportation and then Hospitality?
Scott Shaw: Sure. Unfortunately, I can’t rattle off any major ones in the Hospitality side. So, right now, the major ones are all in the Transportation and Skilled Trades. We have Audi, VW, Johnson Controls, Hussman, Chrysler, Mazda, those are the major ones, Bridgestone, Firestone, Mercedes we’re doing some work for as well as doing things with the Penske Automotive in the trucking side and a number of others.
Alex Paris: Great. And then, you are in advanced discussions with more new partners that I presume you hope to announce before year end?
Scott Shaw: Yes. Absolutely.
Alex Paris: Okay. And then, you said this fall you are going to introduce the welding program to a seventh campus. And then if I got this right too, hospitality programs this fall.
Scott Shaw: Yes. The hospitality programs are just two massage therapy programs, Hand & Stone and Massage Envy have come to us in local markets looking for massage therapists. And so, there’ll be some more programs maybe tapping out around 50 or 60 students each, one in the Boston market, one in the New Jersey market.
Alex Paris: Great. And then, for next year, I think, you are just kind of going fast for me, three to five more skilled trade programs in 2020. Are these additional programs or just transplanted programs into additional campuses.
Scott Shaw: Transplanted programs with maybe one new additional one. We’re evaluating plumbing basically in any campus where we have electrical and HVAC plumbing is kind of a natural. We’re still trying to evaluate to find out how incremental plumbing would be, or would it cannibalize some of our programs. But, that be the only new one, but we’re looking to replicate the HVAC, electrical and welding programs. We see opportunities frankly in several markets for those.
Alex Paris: And then, you submitted the degree granting application in New Jersey, you got six campuses in New Jersey. Realistically, how long is that approval process? I realize, there are moving parts. And then, once received, what do you think this allows you to do specifically?
Scott Shaw: Sure. It will definitely take us a year to get it. And assuming we get it -- the big thing that we are driving for is to launch an RN program in New Jersey. We have three hospitality campuses. In order to offer RN, you need to be degree-granting. 99% of our LPNs all want to become RNs. So, we have a great base of people that want to become RNs that we can reach out to, but also, it’s the largest portion of the healthcare field. New Jersey needs more nurses. So, we see a great opportunity if we can launch that. In addition, we would then be able to offer degree-granting to some of our automotive diesel and skilled trades programs as we do in certain other states. And there is always a segment of the population that does prefer to earn a degree. So, that would just help us gain more market share in those areas as well.
Alex Paris: Okay, understood. And then, as we enter the third quarter here, obviously a big primary intake for high school related students. What has been the trend in high school enrollments over the last couple of years, and what are your expectations for this year? And then, what percentage of new student enrollment in the third quarter on the transportation side comes from high school grads?
Scott Shaw: I’ll have to get back to you on that last point, just to make sure I give you the factual. In general, I know high school overall is about 20% of our population for the full year. But, I’ll have to get back to for specifically what it will be in the third quarter, Alex. But, basically, high school for us has been incrementally growing for the last 24 months. And so, it’s in the low single digits. And that’s mainly from penetrating some new markets and having some greater productivity. The high school market is a challenging market; it’s a very expensive market to reach, but it’s a very important market for us. As I said, about 20% of our students come from that market. And what we are seeing, I think I mentioned in my prepared remarks, and again, it’s very, very preliminary and it’s certainly -- the shift hasn’t changed. But I’m hearing more of our high school guidance counselors talk about the fact that they are seeing some positive momentum as far as people being more willing to consider a career technical education. As you know, one of the reasons why we have the skills gap is everyone is being pushed to go to four-year school. And as that hasn’t proven to be the panacea for everyone, people are giving career technical education some second thoughts.So, I am very optimistic about where that will go in the future. But overall, as I said, the high school market remains about 20% of our population.
Alex Paris: Great. And then, lastly, I just wanted to talk a bit about free cash flow. I think you said in the prepared comments you expect positive cash flow for the year, and that would be an improvement year-over-year. You used cash in the first half, you generate cash in the second half, generally is how it works. With third quarter I believe being the most significant producer of cash flow from operations and then the fourth quarter, maybe a slight decline from the third quarter, but still quite robust. Is that expectation the same? And do you expect to generate more cash flow from operations in the second half of ‘19 versus the second half of ‘18?
Scott Shaw: Yes. I’ll let Brian address that.
Brian Meyers: So, Alex, this year, we are forecasting to have actually slightly higher cash flow from operations in the fourth quarter versus the third quarter. and as I mentioned in my prepared remarks, we are actually slightly cash flow positive for the second quarter this year, a few $100,000, but it was slightly positive, which is a significant improvement to the $2.3 million in the prior year in that quarter. So, in the second half year, we are anticipating a strong cash flow. Last year, we used cash flow from operations about $2 million, so we should have significant improvement over that.
Alex Paris: Okay. And then, will the 10-Q be filed today or tomorrow?
Scott Shaw: It will be filed today.
Alex Paris: Okay. I’ll look for that. Thank you very much. And again, congrats on the strong quarter.
Scott Shaw: Okay. Thanks, Alex, for your questions.
Operator: [Operator instructions] I am showing no further questions in queue at this time. I’d like to turn the call back over to Mr. Shaw for closing remarks.
Scott Shaw: Thank you all for joining our call today and learning more about Lincoln. For over 70 years, we’ve been a leader in career technical education and training, and we believe our best years are to come. To all the Lincoln employees who are on the call, I thank you for your tireless support of our students. And to our shareholders, we look forward to updating you on our progress after the third quarter. Have a great day.
Operator: Ladies and gentlemen, thank you for your participating in today’s conference. This concludes the program, and you may now disconnect. Everyone, have a great day.